Operator: Good day, everyone and welcome to The Home Depot Q2, '17 Earnings Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Diane Dayhoff, Vice President, Investor Relations. Diane, please go ahead.
Diane Dayhoff: Thank you, Debbie, and good morning to everyone. Joining us on our call today are Craig Menear, Chairman, CEO and President; Ted Decker, EVP of Merchandising; and Carol Tomé, Chief Financial Officer and Executive Vice President, Corporate Services. Following our prepared remarks, the call will be open for analyst questions. Questions will be limited to analysts and investors and as a reminder; we would appreciate it if the participants would limit themselves to one question with one follow-up please. If we are unable to get to your question during the call, please call our Investor Relations department at 770-384-2387. Now before I turn the call over to Craig, let me remind you that today's press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to the factors identified in the release and in our filings with the Securities and Exchange Commission. Today's presentations will also include certain non-GAAP measures. Reconciliation of these measures is provided on our website. Now, let me turn the call over to Craig.
Craig Menear: Thank you, Diane, and good morning, everyone. We had a strong quarter achieving a milestone of the highest quarterly sales and net earnings results in the company history. Sales for the second quarter were $28.1 billion, up 6.2% from last year. Comp sales were up 6.3% from last year, and our U.S. stores had a positive comp of 6.6%. Diluted earnings per share were $2.25 in the second quarter, up 14.2% versus last year. We continue to see broad based growth across the store in all geographies. In the U.S. all three of our divisions posted positive comps in the second quarter as did all of our 19 regions and top 40 markets. Internationally, both Mexico and Canada posted another quarter of positive comps in local currency. Our solid performance was driven by the outstanding execution of our store and merchant teams delivering value and service for our customers across multiple events both in store and online. As Ted will detail both ticket and transactions grew in the quarter and all of our merchandising departments posted positive comps. We saw a healthy balance of growth from both our Pro and DIY categories with Pro sales once again outpacing DIY sales in the quarter. We believe that the work that we are doing to enhance the service capabilities for the unique needs of our Pro customers continues to resonate. We are focused on being a valued partner for our Pros by offering solutions both in-store and at the job site that help them to more effectively manage their business. This includes enhancing our leadership position in tool realm. During the quarter, we closed on the acquisition of Compact Power Equipment, a leading national provider of equipment rental and maintenance services. Compact Power has provided larger jobsite equipment rentals at more than 1000 Home Depot stores since 2009. The acquisition is yet another investment to enhance our portfolio service offerings for our Pro and though we have worked closely with the Compact Power team for many years we are delighted to officially welcome them to the Home Depot family. Our investment in Interline and the MRO customer is another avenue to better serve the needs of our Pros. Use case one, the rollout of Interline’s catalog of products to Home Depot stores is now implemented and we are pleased with the early results. We also continue to roll out use case 2, which enables Interline customers to shop Home Depot stores using a swipe card linked to their Interline account. Though it is early days, we are seeing an incremental sales lift from accounts who have been given the swipe card. Our deeper level of engagement with the Interline customers has helped to drive sales growth that outpaced the company average in the quarter and we remain very excited about the MRO opportunity going forward. Another growth engine for our business is our focus in interconnected retail. Our dotcom business represented 6.4% of sales and grew approximately 23% in the quarter. Our digital team continues to invest in contents, side improvement and better mobile experiences to take the friction out of the interconnected experience online, while our operations team remains focussed on improving the Interconnected experience in store. The result of these combined efforts is continued improvement in sales and customer satisfaction scores across both platforms. This is the power of interconnected retail. As you know we look at productivity as a virtuous cycle here at the Home Depot and our efforts to connect our business end to end continue to pay dividends that enable us to reinvest in the customer experience. We are pleased with the productivity in the business during the quarter as the end to end initiatives to improve freight handling in the store continue to drive labor efficiency and optimize product flow from truck to shelf. Beyond the four walls of our stores, we continued to drive productivity throughout our value chain with initiatives like supply chain sync. Sync is live in all of our RDCs but as you know this is a multiyear, multi phase endeavour as we work to unboard each of our suppliers flowing products through our RDCs. We continue to see great productivity from our supply chain as our investment over the past several years is having a positive impact on logistics cost, inventory productivity and service to our stores and customers. Turning to the macro environment, we continue to see positive signs in the housing data which we believe serve as a tailwind for our business. As Carol will detail, because of our out performance in the first half versus our plan we are increasing our sales and earnings per share guidance for the year. We now expect fiscal 2017s sales growth of approximately 5.3% and diluted earnings per share of $7.29. The success of our spring selling season is the direct result of our 400,000 plus associates and their passion for our customers that extend well beyond serving them in our aisles. For example, this year we celebrated the 20th anniversary of Home Depot’s in-store kids workshops. Held in our stores on the first Saturday of every month, these workshops have become a source of empowerment, accomplishment and pride for millions of children and their families. We like to think that we are fostering the next generation of do-it-yourselfers with some of the most enthusiastic participants over the years even trading in their many aprons for larger ones by becoming associates in our stores themselves. I want to close by thanking all of our associates for the hard work and continued dedication to our customers, as they once again successfully navigated the increased demands associated with our busiest selling season. Based on the first half results, approximately 99% of our stores qualified for Success Sharing, our profit sharing program for our hourly associates. We are very proud of their efforts. And with that, let me turn the call over to Ted.
Ted Decker: Thanks, Craig and good morning everyone. We had a great second quarter driven by strength of both our Pro and do-it-yourself customers. In addition, our online business continued its momentum as online sales grew approximately 23% versus last year. We saw broad-based growth across the store as all of our merchandising departments posted positive comps. Lumber, Electrical, Tools and Flooring had double-digit comps in the quarter. Building Materials, Appliances, Indoor Garden and Decor were above the company average. Plumbing Millwork, Kitchen and Bath, Outdoor Garden, Hardware, Paint and Lighting were positive but below the company average. In the second quarter, total comp transactions grew by 2.6% and comp average ticket increased 3.6%. Commodity price inflation in Lumber, Building Materials and Copper positively impacted average ticket growth by approximately 68 basis points. During the quarter, we held a Memorial Day, Father’s Day and Red, White and Blue events. These events drove excitement in our stores for both customers and associates and we were very pleased with the results. Looking at big ticket sales in the second quarter, transactions over $900, which represent approximately 22% of our U.S. sales, were up 12.4%. A few drivers behind the increasing big ticket purchases were appliances, flooring and certain Pro heavy categories. Transactions for tickets under $50 which now make up approximately 16% of our U.S. sales grew by 1.5% in the quarter, reflecting, among other things the return of our Outdoor Garden business in certain parts of the country. In the second quarter Pro sales outpaced the company average driven by both our high spend and low spend pros. We saw strong comps across several lumber and building material categories, as well as categories like pipe and fittings, power tools and wire. Sales to our DIY customers also should strengthen the quarter, with flooring, storage and organization and patio all outperforming the company average comp. We strive to balance the art and science of retail as part of our core merchandising strategy. For example, we are using data to help our merchandising execution team for M.E.T execute more effectively. M.E.T services based in our stores with primary responsibility for planogram integrity and shelf presentation. Currently, each space serve a space on overall store volume. We are initiating unique service for patients based on category specific sales and transactions. M.E.T. associates will receive individualized and optimized work assignments through the first phones. This allows for the most efficient use of passing hours and focuses based service where customers shop most. Looking ahead, we will continue to build capabilities and invest in people, process and technology in order to leverage our data to better serve our customers. Now let me turn our attention to the third quarter. We strive to be the product authority in home-improvement by providing our customers with the best brands at the best value. Our assortments includes many exclusive brands and we are excited to be expanding our launch of PPG branded products, a brand that is being trusted by Pros for over 100 years This quarter we are introducing PPG Timeless Paint. This new product is one coat coverage is available in both interior and exterior paint. PPG’s world class coding technology improves durability saving our customers time and money. Product innovation is also at the forefront of retail strategy. Flooring, both hard and soft has been an excellent growth driver for our business this year and we continue to see great innovation within the category. New to our assortment is an improved vinyl plank flooring from LifeProof. This innovative product features a highly engineered closed cell phone PDC core that delivers rigidity and strength that is lightweight and easy to handle and install. It is also 100% waterproof and scratch resistance and is available in over 40 patterns. This new LifeProof vinyl flooring is exclusive to the Home Depot. We are excited about our upcoming Labor Day, fall cleanup and Halloween harvest events. In the third quarter, as always, we will be offering a variety of special buys and values throughout the store and online to help kick off the fall season. With that, I’d like to turn the call over to Carol.
Carol Tome: Thank you, Ted and good morning everyone. In the second quarter, sales were $28.1 billion, a 6.2% increase from last year. Our total company comps or same store sales were positive 6.3% for the quarter with positive comps up 5.8% in May, 5.9% in June and 7.2% in July. Comps for U.S. stores were positive 6.6% for the quarter, with positive comps up 6.6% in May, 6.2% in June and 7% in July, versus last year, a stronger U.S. dollar negatively impacted total sales growth by approximately $64 million or 0.50%. In the second quarter, our gross margin was 33.7% a decline of 6 basis points from last year. The year-over-year change in our gross margin is explained in largely by the following factor. First, we had nine basis points of gross margin expansion in our supply chain, driven primarily by increased productivity. Second, we had approximately 8 basis point to our gross margin contraction due to a change in the mix of products sold. And finally, we had 7 [ph] basis points of gross margin contraction due to higher strength than one year ago. In the second quarter, operating expense as a percent of sales decreased by 44 basis points to 17.8%. In the quarter, our expenses were $20 million over our plan, due primarily to a true up of our bonus accrual. Even so our operating expenses as a percent of sales were better than our plan due to our strong sales deployment. One last comment on expenses. As we told you last quarter, we expect our expense growth factor to vary by quarter giving year-over-year comparisons and the timing of investments. Looking ahead, we expect our expense growth factor to be lower in the back half of the year than it was in the first half. Our operating margin for the second quarter was 15.9% an increase of 38 basis points from last year. Interest and other expense for the second quarter grew by $21 million to $249 million, keep reducing the impact of adding $4 billion to our outstanding long term debt over the past year. In the second quarter, our effective tax rate was 36.6% compared to 37% in the second quarter of fiscal 2016 reflecting the benefit of a new stock compensation accounting standard that we adopted at the beginning of the year. Our diluted earnings per share for the second quarter were $2.25 an increase of 14.2% from last year. Moving onto some additional highlights, in the first six months of the year, we opened four new stores, including three in the U.S. and one in Mexico. We have now opened a new store in the United States since 2013. Our New York store still open void, and we are pleased with their initial sales performance. Total sales per square foot for the second quarter were $464 up 5.9% from last year. Turning to the balance sheet, at the end of the quarter, merchandise inventories were $12.9 billion, up $545 million from last year and inventory turn were 5.3 times, up one tenth from last year. In the second quarter, we repurchased $2.6 billion or approximately 17.3 million shares of outstanding stock bringing our year-to-date share repurchases to approximately $3.9 billion. Additionally, during the quarter, we took advantage of an attractive interest rate environment and raised $2 billion of incremental long-term debt. We will use the proceeds of this debt issuance to repurchase outstanding shares, increasing our 2017 share repurchase target from what had been $5 billion to now $7 billion. Computed on the average of beginning and ending long term debt and equity for the trailing 12-month. Return on invested capital was approximately 32%, 300 basis points higher than the second quarter of fiscal 2016. Year-to-date our sales and earnings per share have exceeded our expectations. Turning to our outlook for the remainder of the year, we expect to see continued growth in the repair and remodel market as [Indiscernible] has experienced solid waste growth, faster home price appreciation and the re-emergence of first-time homebuyers. As a result, we are looking at fiscal 2017 sales and earnings per share growth guidance to reflect our first half performance and are confident in the back half of the year. An addition as Craig mentioned, we recently completed the acquisition of Compact Power equipment and are excited to welcome the Compact Power team to the Home Depot family. As we look to the back half of the year, Compact Power will not have a material impact to our sales or earnings per share forecast, but it will slightly affect our gross margin and expense structure. We now expect fiscal 2017 sales to increase by approximately 5.3% with positive comps of 5.5%. While this suggests our second half comps will be slightly lower than our first half comps, our sales guidance is based on our planned foreign exchange rates for the back half of the year. Given the recent performance of the U.S. dollar, there could be some upside to our sales forecast. At the beginning of the year, we expected our fiscal 2017 gross margins to decline by 15 basis points from what we reported in fiscal 2016. Reflecting the impact of Compact Power, we now expect our fiscal 2017 gross margin to decline by approximately 10 basis points. For the year, also reflecting the impact of Compact Power, we now expect our expenses to grow at approximately 46% of the rate of our sales growth. Finally for the year, we expect our effective tax rate to be approximately 36.3%. For earnings per share, remember that we guide off GAAP. For fiscal 2017, we now expect diluted earnings per share to increase by approximately 13% to $7.29. Our updated earnings per share guidance reflect the points I just mentioned as well as $7 billion of share purchases for the year. So we thank you for your participation in today’s call. And Debbie, we are now ready for questions.
Operator: Thank you. [Operator Instructions] We’ll go first today to Simeon Gutman with Morgan Stanley.
Simeon Gutman: Thanks, good morning. Quick question I guess on the recovery. The longer the recovery persist, I mean just natural it seems like the market is getting some angst, that there is eventually going to be a shoot or drop. How do you get comfortable with the tenure of the recovery, clearly the business is performing great, and if there are yellow flags, how do you know what you are looking for?
Craig Menear: I mean, I’d say Simeon that we’ve had obviously a protracted recovery here, and it has been clearly driven from housing which has been a steady but slow recovery in the market. You know we continually look at months of supply, there is 4.3 months of supply in the market of housing availability against a historical norm of six, that clearly is helping to drive improvement in home value appreciation, but housing starts haven’t returned to their norm yet either. The only thing that’s kind of run on an historical averages is housing turnover. So, we see this housing favorability continuing as we look forward. And I think the watch out for us is, you wouldn’t want to see affordability become an issue, but that at this point doesn't seem to be a concern for us at all.
Carol Tome: Right. As we look at the affordability index, it stands at 153%, so long ways to go before that would be a watch out for us. And recovery is a difficult thing to put your arms around. But if you look at simply PFRI dollars they’ve only recovered 70% of the loss. So, if you put that into baseball terms like [Indiscernible] 6 [Indiscernible]. The other thing that’s really interesting to us is the age of the housing stock. We’ve talked to you a lot about 66% of the housing stock being older than 30 years. Did you know that 51% of the house stock is older than 40 years and as houses age, well, they need more of repair.
Craig Menear: It’s more spend.
Simeon Gutman: Okay. That’s helpful. My follow-up is one e-commerce and I’m sure this will be topical. I just want to ask one angle of it. So, in using the power tool category as an analog for how to think of appliances, the pushback that we been getting is that look Home Depot has done a great job in powered tools, but they have a lot of exclusive brands and labels which is different than appliances, and ultimately appliances will be harder to control given some of the large national brands. Can you can you share some thoughts on that comment?
Craig Menear: Look, what I would say is, we have a lot of categories of goods in our stores, over 200 plus categories of goods. And we compete with lots of folks across all of those categories. And candidly by category the strategy is different because the categories are different. And so, our job is to create the strategies that allow us to be the customers’ advocate for value across the categories and compete accordingly. And it varies by category what our approach is.
Operator: We’ll go next to Michael Lasser with UBS.
Michael Lasser: Good morning. Thanks for taking my question. I have two questions on market share. First, it looks like your total sales increased slightly less than the category according to the Census Bureau. So where do you think you might have lost some share to during the quarter? And then I have a follow-up on that.
Craig Menear: Actually based on the NAICS 441, it actually looks that we gained share in the quarter. We don't believe we lost share in the quarter.
Carol Tome: No. We’re up 20 basis points.
Craig Menear: Yes. 20 basis points year-over-year.
Ted Decker: 20 bps to 28.12.
Craig Menear: Right.
Michael Lasser: Okay. And then the second part of the question is on e-commerce, the e-commerce channel within home improvement overall. Do you think that you're gaining share within that channel within the category? And what rate of growth do you think the home-improvement category is growing online?
Craig Menear: So, we actually have an interconnected retail approach and our customers are blending the physical and the digital world together. And we look at share in totality as it relates to Home Depot's gain in the market against what the market is growing.
Carol Tome: And we’re pleased with the share gains. It’s important to remember that over 43% of our online transactions are picked up inside of a store. This is One Home Depot. Not an online or in-store business, but it’s One Home Depot.
Michael Lasser: Okay. Thank you very much.
Operator: We’ll go next to Dan Binder with Jefferies.
Dan Binder: Thank you. As you just mentioned different strategies for different categories online, obviously appliances have been in the news recently, I know you do some of your appliance business online. I was wondering if you could just talk a little bit about the complexity of that transaction, how the customers shopping it in the store even if they're ordering it online and where you think your competitive advantages are if you start to see that category become more available online at other competitors?
Craig Menear: Dan, look -- if you look at the interconnected experience, candidly for appliances, there are lots of other categories. In many, many categories the shopping experience starts in the digital world even though it might finish in the physical world or in some cases actually finish in the digital world as well. It is truly a blended experience today where the customer, the front door of our store is no longer at the front door of our physical store for many, many product categories. The customer starts digitally looking at product, doing research and then in many cases particularly in large ticket they come in and they actually want to talk to one of our associates before they make a purchase, but we clearly in big-ticket categories we sell both in the physical and the digital world.
Dan Binder: And then, if I can just ask one other question related to delivery. Can you give us an update on how many of the stores are able to deliver to the Pro within two hours now?
Craig Menear: Yes. We've actually rolled out the delivery program at the end of fiscal 2016, Mark Holifield is here. I’ll let Mark…
Mark Holifield: Yes. Hey, Dan. Our buy online deliver from store and our deliver from store capabilities were fully rolled out at the end of last year and we offer the two and four hour window options at all of them at this point.
Carol Tome: And Mark, certainly we’ve seen sequential growth in our delivery business every week in the quarter. So our customers are responding very well to this offer.
Mark Holifield: Very healthy growth.
Dan Binder: Great. Thanks.
Operator: We’ll take our next question from Christopher Horvers with JPMorgan.
Christopher Horvers: Thanks. Good morning. Can you talk about, Carol, last quarter you talked about Pro being up two times DIY. Does that trend continue? And can you talk about the growth that you’re seeing in the Pro versus DIY. What does that make you all think about what's going on in the market now and in terms of the duration of the growth going forward?
Carol Tome: Sure. So, yes, our Pro’s grew twice as fast then the DIY, actually expanded that gap a bit in the second quarter. And Chris, I can recall talking to you last August about our sales, our Pro’s going out on vacation. Well, based on what we’re seeing in the stores today our Pros are not on vacation. The stores are busy and our sales are quite good.
Christopher Horvers: Nice. And then, I think one of the questions that was asked on our last that was really interesting and I wanted to put out there. You have companies like Wayfarer spending a lot in advertising in Amazon reported to be more interested in the category. So, obviously as you saw these companies get rewarded with sales growth and not necessary profitability clear in Amazon's last report. So do you think that given this increased interest in greater advertising spend, do you need to flex some muscles here and maybe deleverage advertising a little bit to defend the Home Depot brand in the home related categories?
Craig Menear: Chris, I’d say, one of things, I’m very proud of the team. They have worked really hard over the past several years to drive dramatic improvement in terms of the effectiveness of our marketing dollars to reach a customer in a space where they have a high level of interest. So, we have been on a path to balance our approach in terms of marketing both in traditional media and in digital media, and the team has been able to drive incredibly effective returns on our marketing spend.
Carol Tome: We spend more on digital on the second quarter than we did TV and radio combined. So the team is doing an awesome job at getting more eyeballs, higher return on that spend.
Ted Decker: Yes. Our overall advertising spend is up, lower single digits, but as we’ve essentially made more significant pivot to digital marketing it's over half our marketing right now. That's a medium that you can get good insight on the return on your spend and as Craig said, the team just done a great job continuing to increase the return on that spend, so leveraging that low single digit to a much more productive return on overall ad spend.
Christopher Horvers: I’m sure you do a lot of key search terms and so forth there. Is that becoming more expensive to you as Wayfarer and Amazon focus more on the category?
Craig Menear: I mean, it various by category by day candidly.
Christopher Horvers: Understood. Thanks very much.
Craig Menear: Yes.
Operator: We’ll go next to Brian Nagel with Oppenheimer.
Brian Nagel: Hi. Good morning.
Craig Menear: Good morning.
Brian Nagel: Nice quarter.
Craig Menear: Thank you.
Brian Nagel: So my first question, I guess is follow-up on some of other e-commerce type questions, but maybe to exactly Chris was saying some minute ago. You other e-retailers are online only chance if they may at least indicate some interest gain into this category. But from your vantage point are you seeing anything suggest that anyone’s coming out with the much, much more price aggressive effort in one that you would have to match or you choosing to match?
Craig Menear: I mean, Brian, we’ve invested obviously in tools and capabilities to inform our merchants in terms of the overall competitive position in the marketplace both in the digital and in the physical world. And this quite candidly has been something that the company has been focused on since its inception in terms of making sure that we’re driving value. Core belief that I have is as merchants, we are the customer’s advocate for value period. And that's the job of the Home Depot and the Home Depot merchandising team every single day. So we must stay focused on a competitive offering and quite candidly value is defined by what the customer is willing to pay for it.
Brian Nagel: Got it. And my follow-up question and shifting gears a bit, flooring. I think you call that out another bright spot. Again, from a competitive standpoint there's been – there’s others companies now they are pushing to the flooring [Indiscernible] perspective. Overall what do you see as far as, I guess, how would you characterize the consumer demand of the category than are you see anything from stepped-up competitions you had to react to?
Ted Decker: As Craig said, it's a great point we competed over 220 categories. Flooring is a very big category and there are actually lot of competitors have been and will be. We see consumer demand very strong and the consumer is responding to the Home Depot value proposition. So we have innovative product. We have exclusive product. We have new technology and exclusive launches at the Home Depot. And we've worked very hard on her in-store selling model and Ann and her team are just doing a great job communicating that value to the customer in both are hard and soft flooring and they’re both doing extremely well as I called out double-digit comps for the category.
Brian Nagel: Thank you. Congrats again.
Ted Decker: Thanks.
Operator: We’ll go next to Kate McShane with Citi Research.
Kate McShane: Good morning. Thanks for taking my question. I was curious about your comment with regards to the reemergence of the first time home buyers. Is this the first time we’re seeing this and if this were emerging would this be enough to offset any slowing of price appreciation if there were to occur?
Carol Tome: Well, its really interesting to see what happens with the first-time homebuyers in the second quarter. The highest number of first-time homebuyers since 2005. About 424,000 first-time homebuyers making up 38% of all homebuyers and up 11% year-on-year, so that’s good news. Why? Because first-time homebuyers tend to buy homes that need repair and remodel. So, as we see and we anticipated this happening with millennials coming into an age where they start to form families, children or pets or whatever their family unit might look like they're moving into the home which bodes very well for us and to your point it extends the recovery.
Kate McShane: Thanks. Great. Thank you. And then, Ted had mentioned that the three events you conducted during the quarter. Just wondered if that deferred in any way versus last year and does that help explain some of accelerations into July?
Ted Decker: They were similar events in duration as last year, Kate.
Kate McShane: Thank you.
Operator: We’ll go next to Matt Fassler with Goldman Sachs.
Matt Fassler: Thanks a lot and good morning. My question relates to your discussion of sales trends by ticket. Can you just remind us whether that store-only, whether that's inclusive of online? And then I have a quick follow-up.
Craig Menear: Yes. It’s all in.
Carol Tome: It’s all in.
Matt Fassler: I guess, is there anything about the way consumers are shopping based on project or basket that would change the composition of that sales performance by ticket, just thinking about the outsize, extended outsize growth of the big-ticket piece and the fact that the small ticket piece has been growing at a slower rate for kind of equally consistent period of time.
Craig Menear: The biggest driver behind that has been the recovery of our Pro customer and the growth that we've had in categories like appliances and flooring. Those are big-ticket purchases in and of themselves, so an appliance is clearly much larger than our average ticket. Our flooring job is significantly larger than our average ticket. And our Pro customer spends dramatically more than the average DIY customer. So those have clearly helped to drive the growth in tickets above $900. And then, we did see the recovery in the smaller ticket, Matt, as a result of the garden business coming back to a more normal state in the second quarter.
Matt Fassler: Great. Thank you so much, guys.
Craig Menear: Yes.
Operator: We’ll go next to Dennis McGill with Zelman & Associates.
Dennis McGill: Hi, good morning and thanks.
Craig Menear: Good morning.
Dennis McGill: One more question just going back to appliances and online, I think you said, 6% of sales are online now for the total store. Can you just maybe just fame appliances relative to that number and just give a little bit more detail on how you mentioned, Craig, the buying experience in some cases starting digitally and ending digitally. What percentage of those big-ticket transactions and appliances are executed online? Just kind of give some frame of reference to the categories as a whole already being an online category?
Craig Menear: We don’t break that data. I mean, for a competitive reasons we would not share that data. Thanks.
Dennis McGill: Okay. I won’t count that as my question. And so my question is will shift to non-online. When you look at outdoor garden I guess for the first half of the year it’s a below-average categories, so I guess the weather comps year-to-year didn't really get the typical bathtub affect? Carol, when you look at the back half of the year do you expect that some of that could come back and the full year would balance out or is that lost demand at this point?
Carol Tome: Some of the softness was – and softness is relative to the category grew, so [Indiscernible] and Ted, I wouldn’t think we get much of that.
Ted Decker: No. I think some of the uptick we saw in July was that extended season all in, it was a reasonably good season, I wouldn’t say great, certainly colder and wetter early and it was really wet into end of June, so some late garden, but I think we’ve seen that and it just isn’t that big until you get into fall and then hopefully you’ll get a seed season and some planning season.
Dennis McGill: Okay. And then, second question just as it relates to inventory, Carol, how would you characterize inventory in the channel today when you just first store or same-store in the acquisitions and so forth thus far as what a supplier might be facing with projects and so forth. Is there less inventory throughout the channel today and if so can you quantify that in anyway?
Carol Tome: We’re growing inventory to support ourselves. We also want to drive productivity as Craig called out in his remarks. And so we’re always going to look to improve the velocity of our inventory return that might going to press us. As Craig always said, the customer service starts with in-stock, you got to have with the customers want and certainly we will do that working with our supplier partners.
Dennis McGill: So the inventory, I think turn into a frame earlier being earlier been up a little bit, is that a same-store representation?
Carol Tome: That is One home depot representation includes inventory in our stores and in our distribution centers.
Craig Menear: Yes. The total inventories are 545 million in the quarter.
Dennis McGill: Okay. Very good. Thank you, guys.
Carol Tome: Thank you.
Operator: We’ll go next to Alan Rifkin with BTIG Corporation.
Alan Rifkin: Thank you very much for taking my question. Carol, you mentioned that the expense factor in the second half should be lower than in the first half. Given the fact that typically second half revenues and aggregate are less than the first half and you said that you forecasted comps to be a little bit lower in the second half versus the first half. Is the reason for a lower expense factor in the second half entirely due to compact power or are there other things going on there?
Carol Tome: Let me give you a little bit more color on our expenses that I put in place. As you know we stepped up our capital spending program this year taking our total spending up to $2 billion including $359 of capital to invest in our stores and certain of our stores are getting new wayfinding package, new flooring and lighting, new restrooms, break room and so and so forth. That capital comes with the next step. Now, we didn’t plan for the activity over every quarter and in fact a lot of that activity took place in the second quarter. And so I look at our expense performance in the second quarter, but it was planned, expenses related to our store investment which would include old write-offs with old fixtures and reset expense and that sort of thing. Year-on-year it was up $19 million. So it was pretty lumpy in the second quarter. That won’t be as lumpy in the back half of the year and that’s really the driver of expense growth factor first half versus second half.
Alan Rifkin: Okay. Thank you very much. Appreciate that. And then follow-up, with respect to Compact Power either Craig or Carol, could maybe just talk about the margin structure for that business. Would it be correct to assume that it’s a lower gross margin, as well as lower SG&A business and what effect on a full-time basis to EBIT margin does the acquisition of Compact Power in and of itself has?
Carol Tome: Happy to talk about it. First, the Compact Power, the revenues for Compact Power are recognized on a net and not a gross basis. So you have gross margin associated with that business, it’s highly margin accretive. And Alan, that’s one reason why our gross margin guidance for the year has change from what had been down 15 basis points to now down 10 basis points. Because the revenues are recognized on a net basis and because there are expenses in Compact Power it put some pressure on our expense growth factor for the year. We had guided that the expenses would grow at 43% of our sales growth. We’re now suggesting 46% of our sales growth, that’s because there are no revenues we will report on net basis, but they are expensive. If you look at EBIT of Compact Power, its very accretive. In the back half of the year this is a small business, strategically very important. But in the back half of the year Compact Power should contribute a penny of EPS accretion.
Alan Rifkin: Okay. Thank you very much, Carol.
Carol Tome: Welcome.
Operator: We’ll go next to Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli: Good morning, guys. Carol, you’ve already highlighted how the housing stock in the U.S. continues to age. And obviously, that’s been a pretty big thing for you over the last, call it, two years or so. Do you happen to -- I know it’s something you guys have been looking at for a while. So do you happen to have any analytics around the home improvement spending maybe by vintage or do you know if there's an average percentage spend relative to an average home price?
Carol Tome: Yes. A couple of data points. Homes build before 1980, the average annual home proven spent is $3500 a year. Homes build after 2000 the average annual home improvement spent is $1500 a year. So there’s a pretty nice delta as the homes age. The other interested data points and we haven’t proven this analytically in our own research, but I’ll share with you anyway because I think it gets very interesting. We look at John Burns Real Estate Consulting Group a lot. We’ve got some really interesting data in housing. And they say, that for average every percentage point improvement in real wages and real wages are up this year after inflation 2.2%. They say for every percentage points increase, there’s a 1% increase in the repair and remodel spend. Interesting, we haven’t proven that, but it stands to reason. You got more money in your pocket you’re going to spend some more money on your home.
Scot Ciccarelli: Yes. That makes sense. And then just a quick follow up. You also mention how first-time home buying is finally starting to accelerate. Again that should be good for duration, but just based on historical purchase patterns would you expect that the impact your small ticket performance? Presumably there's a little – a lot more kind of nickel dime type projects that are probably done, but I don't if that's true or not.
Carol Tome: I wouldn’t think so. No, because when they’re going into the homes they need to repaint them. And paint is not just a bucket of kind of put it down and paint, but it’s a tape and tarps and all the other stuff that goes with it.
Ted Decker: Yes. I wouldn’t think so other than a trip for picture hanging or something like that, that would be under $50, but yes, your -- which we like.
Carol Tome: Which we like, yes.
Ted Decker: Older basket.
Scot Ciccarelli: Right. So no real change in the cadence between big ticket and small ticket as you windup getting more first time home buying?
Carol Tome: Still think so.
Scot Ciccarelli: Okay. Great. Thank you.
Operator: We’ll go next to Keith Hughes with SunTrust.
Keith Hughes: Thank you. You mentioned several times earlier in the call that your Pro is up well in excess with the DIY. Can you give us any insight on product categories that they particularly well with the Pro in the quarter?
Ted Decker: Well, certainly our building material categories did very well. Our electrical did very well, tools, consumers, consumer’s love our power tools, but the Pro’s are really the heavy users of that. Lumber is very strong, our lumber prices are nearer at all-time highs, our unit productivity is you know, the commodity prices we know will go up and down, we watch the units very carefully in lumber and building materials, and those have been very strong as well.
Keith Hughes: And you had mentioned earlier in the call, introduction about the Pro paint initiative. Is that is an area. Is that rank among your tops in terms of revenue of the Pro?
Ted Decker: Yes. The Pro paint initiative that we have with each of their NPPG has been very successful. I'd say overall we’re pleased with our growth in our paint business. I'd say we’re holding shares if not gaining a little bit to share in paint, but our Pro paint initiative in particular is multiples higher growth than our DIY paint business.
Keith Hughes: Okay. Thank you.
Operator: We’ll go next to Scott Mushkin with Wolf Research.
Scott Mushkin: Hey, guys. Thanks for taking my questions. So, I guess I wanted to take a step back and ask some boarder question. A lot has been asked on the call. I mean, as you guys look at your business, because obviously just performing terrifically and obviously a big tailwind from what’s going on macro, but also lot of the great things you guys are doing. What do you worry about?
Craig Menear: So, I’d say there two things that are up there on the list. And one is we’re investing in the One Home Depot experience, that’s how the customer views us, not exactly how we’re built, so we have to do some things to get there completely. And you worry about the ability to execute on that fast enough and the change management that comes along with that. Second worry, I’d say, is the customer and their associate experience in our high-volume stores. Clearly, with the growth that we've had that puts pressure on in those stores disproportionately. And so, we’re going to have to invest to solve that situation and we’re working to put that in place, but those are certainly two worries that we have in the business.
Scott Mushkin: Right. That’s really good insight. But I was just wondering if you could talk about kind of how things going so far this quarter, I mean, we had the retail sales numbers out today. There were good. We experience sometimes a third quarter low, because DIY is not as strong as Pro. I was just wondering any thoughts as we look into third quarter, anything we should consider?
Carol Tome: Yes. Scott, as we mentioned just little bit earlier, we are quite pleased with our sales in August thus far.
Scott Mushkin: All right. Perfect guys. Thanks very much.
Craig Menear: Thank you.
Operator: We’ll take our next question from Matt McClintock with Barclays.
Matt McClintock: Hi, yes. Good morning, everyone.
Craig Menear: Good morning.
Matt McClintock: It’s been a little over a quarter since you now had access to Interline inventory and your stores. And I was wondering conceptually how should we think about the benefit from that access, building and having an impact on your sales? How do you build awareness of that? Is that really what we’re waiting on to see an acceleration in the business form that or just how to think about that benefit layering in over the coming years? Thanks.
Craig Menear: I mean, I’ll start and Bill is here who runs our Pro and Services business. But as I call out my comments, we’re actually very pleased with the use case one and use case two response from our customers and with that as well as the operative the team at Interline, Interline actually grew above the company average growth in the quarter or so.
William Lennie: Yes. Craig, thanks, quick comment. We’re now live in 1958 stores, so we basically have finished the rollout. We have 1500 stores that have access to Interline’s products next day and an additional 458 stores that are a two-day delivery. And we’re seeing great activity on a broad base of goods primarily servicing the trades from plumbing electrical hardware also strengthen the HVAC business. So it's doing a nice job of extending our product reach given us access to deeper inventories for Pro that are coming in and looking for project-based purchases. And then, overall, average ticket on par ramping up sequentially week-over-week and pleased with progress on the MRO business.
Matt McClintock: And then, Carol if I could have a follow-up just – and I’m sorry if I missed this, but the seven basis points of pressure from higher shrink. I have to ask about it because it almost offset the benefit from the supply chain. Could you just talk about what you are seeing there, what’s driving that? Thanks.
Carol Tome: As you know there are many drivers of shrink including higher staff and changes in operational processes and new systems. We have a cross functional team that is addressing us. We are hearing from other retailers that [Indiscernible] is up across the board. But we really focussed on what have we changed in front of our store that will have to cost some of this. And in fact the cross functional team has identified a few defects that we are correcting. And we will continue to work on this going forward.
Matt McClintock: Thank you very much for the color.
Operator: We’ll go next to Peter Benedict with Robert Baird.
Peter Benedict: Hey guys, thanks for taking the question. First it was just kind of the labor market and wages and availability workers. I mean, what are you guys seeing on that front, whether it be with the seasonal folks that you hire or some of the speciality or full time folks. That’s my first question.
Craig Menear: So Peter we hired seasonally this year over 90,000 people and one of the great things that happened in this season was we enhanced our application process through improved mobile experience, it actually doubled our applicant pool. So we were pleased with that as a better experience for the applicants themselves and was pretty effective on our end as well. We are certainly seeing wage pressure and that varies market by market, but that’s something that we anticipated and planned for and it’s actually built into our guidance for 2017.
Peter Benedict: Okay, thank you. And then, Carol just curious on the FX, just to make sure I understand you correctly your guidance right now still assumes, I think it was the $250 million headwind from FX for the years, is that right?
Carol Tome: In the back half, it’s actually $250 million. That’s right. So if you were to add that back, you would calculate the comp to be about the same as what we reported in the first half.
Peter Benedict: Okay. And then last one if I could, just sneak one in. The store refreshes that you’ve alluded to, remind us how many you are getting done this year, how many you think you could maybe do in 2018. And Craig, anything specific, I mean you talked about trying to alleviate some of the customer experience and associates experience friction that may occur in these high volume stores. Anything in particular that you are focussed on that you are seeing some improvement from as you kind of work to re-engineer the stores a little bit. Thank you.
Craig Menear: The first part of the question in terms of how many this year or approximately 500 stores will get the updates that Carol referenced earlier as it relates to signage, navigational signage, lighting, Floor, break room, rest rooms and so on. And then in the high volume stores, you know we have to work to continue to prove the experience for the customer on the front end, in particular and get the customer through the registers with greater speed and then likewise those stores feel more pressure from office and bus pick up and we’re working to solve that for them as well. And that will be a different scenario by different type of stores, but those are the areas of focus.
Carol Tome: And Peter, you know we’ve got an investor conference in December and so we’ll lay out our plans for 2018 and beyond at that conference.
Peter Benedict: Okay. Fair enough, thanks so much guys.
Carol Tome: Debbie, we have time for one more question.
Operator: We’ll take our last question today from Seth Basham with Wedbush Securities
Seth Basham: Great. Thanks for taking my question.
Craig Menear: Sure.
Seth Basham: As we look at the trends in small ticket sales relative to big ticket sales, obviously they have been underperforming for some time. Do you think that you are still gaining market share in some of the small ticket categories?
Craig Menear: Yes, I would. I mean, the small ticket is healthy, we talk about the transactions being up 1.5, but that also comes with a strong positive comp associated with those transactions. And you know the mix of the business we used to talk about under 50 being 20 odd percent and over 900 being 20 odd percent. And that dynamic shifted as the customer has responded we think largely to the product and the innovation in the store. And again, we look at this every single week where are the sales coming from in the assortments and we continue to see the customer respond to the innovation and buy up the continuum on the assortment. An example of that would be in soils and mulch this year. So we talked about garden coming later which it did and we had a fine garden business in the second quarter, but we were a little less promotional on commodity mulch, because what we find is the customer is buying heavily into the organics. We have a number of exclusives in organics with Kellogg's and doctor Herbs and some of the Scotts miracle growth product and customers are happily trading up and we are talking you two and sometimes three and four times the cost for a bag of organic mulch over commodity mulch. So we look at it very carefully because it’s a natural and fair question that we continue to be comfortable with what the dynamic is of ticket growth. We look again that it’s exclusively this year product mix and then the effect of commodity prices, lumber and building materials. There has been no price impact on our AUR.
Seth Basham: That’s helpful. And given that that’s [Indiscernible] of this call as we think about the e-commerce in fact it’s on the small ticket categories. Do you feel like you guys are better or less well positioned to gain share in some of the smaller ticket categories as a result of what’s happening with the online channel.
Craig Menear: I mean we feel very comfortable although we competed across all segments of the line structure. Opening price point, mid price point, upper price point across channels.
Seth Basham: Excellent. Thanks a lot guys.
Craig Menear: All right.
Diane Dayhoff: Well thank you every one for joining us today and we look forward to talking to you next quarter.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference. You may now disconnect.